Operator: Good day, ladies and gentlemen. And welcome to the Fourth Quarter 2010 Gildan Activewear Earnings Conference Call. My name is [Lacy], and I’ll be your coordinator for today. At this time, all participants are in listen-only mode. Later, we will facilitate a question-and-answer session towards the end of the presentation. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today’s call, Ms. Sophie Argiriou, Director of Investor Communications. Please proceed.
Sophie Argiriou: Thank you, Lacy. Good morning, everyone, and thank you for joining us. Earlier this morning we issued two press releases one announcing the initiation of our quarter dividend and normal course issuer bid and second announcing our earnings results for the fourth quarter and for the 2010 fiscal year. We expect to file with the Canadian securities regulatory authorities and the U.S. Securities Commissions our report to shareholders containing Managements Discussion and Analysis and consolidated financial statements for the fiscal year ended 2010 on December 6th. These documents will also be made available on our website at www.gildan.com. I’m joined here today by Glenn Chamandy, our President and Chief Executive Officer; and Laurence Sellyn, our Executive Vice President and Chief Financial and Administrative Officer. Before Laurence takes you through the results, I’d like to remind everyone that certain statements included in this conference call may constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve unknown and known risks, uncertainties, and other factors which could cause actual results to differ materially from future results expressed or implied by such forward-looking statements. We refer you to the company’s filings with the U.S. Securities and Exchange Commission and Canadian securities regulatory authorities that may effect the company’s future results. I would now like to turn the call over to Laurence.
Laurence Sellyn: Good morning. Today we announced another strong quarter with record sales and earnings for the fourth quarter of the fiscal year. Net sales revenues were $369 million, up 22.3% from the fourth quarter of last year and diluted EPS before $0.01 restructuring charge were $0.48 per share up 37% for last year. The growth in EPS was primarily due to strong growth in sales revenues and increased gross margins, compared with last year, partially offset by increased selling, general and administrative expenses. Our growth in sales was due to overall demand recovery and higher market share in the U.S. screenprint market, as well as increased penetration in international screenprint markets. Industry shipments from U.S. wholesale distributors to U.S. screenprinters increased by 2.7% in the fourth quarter and Gildan’s market share in the U.S. wholesale distributor channel was 64%, compared with 57% in the fourth quarter of last year. Therefore, we maintained the further significant market share increases, which we have achieved during fiscal 2010, in spite of having low activewear finished goods inventories, which resulted in a continuing large back order position. In addition, we increased our unit sales volumes in international and other screenprint markets by approximately 50% in the quarter and achieved significant sales growth in underwear and activewear in the U.S. retail channel from a small base in fiscal 2009. Unit sales volumes of socks were up by 9%, compared with the fourth quarter of last year, including the negative impact of discontinued sock programs. Sell-through of men’s and boys sock programs manufactured by Gildan from retailers to consumers was very strong in the quarter both for retailer private label and retailer license brands, as well as for Gildan branded sock programs, although certain other categories were lower than planned. Dollar sales revenues of socks increased by 1% compared to a year ago. The growth in dollar sales revenues was lower than the growth in unit volumes due to the execution of a planned shift to a more basic product mix which fits with Gildan’s large scale manufacturing, which was completed in the first half of the fiscal year and to significantly increase participation in retailer back-to-school promotions. Gross margins in the fourth quarter were 27.3%, compared to 25.7% in the fourth quarter of last year. Gross margins in the fourth quarter last year included the negative impact to the special discount applicable to distributor inventories, which reduced margins last year by 290 basis points. The increase in gross margins was due to the non-recurrence of a special discount, the $8 million proceeds from the Haiti insurance claim, which added 240 basis points to gross margins and the impact of a cotton subsidy in the company’s U.S. yarn-spinning joint venture, which increased gross margins by 170 basis points. The full amount of the cotton subsidy is reflected as a reduction of cost of goods sold and the 50% benefit attributable to our joint venture partner Frontier Spinning is reflected in non-controlling interest in the earnings statement for a net after-tax benefit to the corporation of $1.9 million or $1.5 per share. These positive factors were partially offset by higher year-over-year cotton costs, which negatively impacted gross margins by approximately 380 basis points in the fourth quarter. Although, the company has announced three successive selling price increases in the wholesale channel to offset the increase in cotton costs and other purchase cost inputs, these price increases were not applicable to back orders and only benefit to fourth quarter gross margins by approximately 150 basis points. Gross margins in the fourth quarter were also negatively impacted by start-up inefficiencies primarily related to new underwear programs and additional costs encourage you to the Haiti earthquake, which were included in inventories consumed in cost of goods sold during the fourth quarter. The insurance proceeds of $8 million represented the maximum amount of the coverage for the impact of the Haiti earthquake under the company’s insurance policies. The total earnings impact for the company, which primarily impacted results in the third and fourth fiscal quarters is estimated at $90 million, comprised of estimated lost sales margin of $12 million due to lost production, which would have allowed the company to take fuller advantage of the strong recovery in market conditions and generate additional sales and approximately $7 million of additional production, transportation and other costs, which were incurred due to the temporary disruption of the company’s supply chain. The company estimates that excluding the impact of non-recurring items, its normalized gross margins in the fourth quarter would have been approximately 25.6% instead of 27.3% as reported and normalized EPS would have been $0.46, plus the additional sales margin from lost Haiti production, which would have been generated in the fourth quarter. It is not possible for the company to quantify this impact as it is difficult to estimate to what degree the additional production would have been sold in the fourth quarter versus the third quarter. The company has continued to have a significant backlog of open orders throughout the second half of the fiscal year. SG&A expenses in the fourth quarter amounted to $42 million or 11.4% of sales, compared with $34 million or 11.3% of sales in the fourth quarter of last year. The increase in SG&A was primarily due to the increased sales, distribution and administrative infrastructure to support the company’s retail strategy, higher volume driven distribution expenses and increased performance driven compensation expenses compared with last year. Selling, general and administrative expenses in the fourth quarter included a charge of $1.9 million for provisions for doubtful accounts receivable. The income tax recovery in the fourth quarter primarily relates to the tax benefit of the restructuring costs and inefficiencies incurred in the fourth quarter in the company’s U.S. retail operations, including the ramp up of the new South Carolina retail distribution center. Full year net sales revenues were slightly over $1.3 billion, up 26.3% from fiscal 2009. Gross margins were 27.8%, compared with 22.2% last year. EBITDA was $278.5 million and diluted EPS before restructuring charges was $1.67, which was slightly more than double our EPS in fiscal 2009 when our results in the first half of the year were significantly impacted by the economic downturn. Market conditions are continuing to be strong in the first quarter of fiscal 2011. The S.T.A.R.S. report for the month of October shows growth of 5.5% in unit volume shipments from U.S. screenprinters to U.S. distributors. And in addition, distributors are building inventories in anticipation of industry supply chain shortages and selling price increases. We are projecting net sales revenues in the first quarter in excess of $300 million up approximately 40% from the first quarter of fiscal 2010. Gross margins in the first quarter are currently projected to be approximately 25%, compared to 29.8% in the first quarter of fiscal 2010. The projected reduction in gross margins compared to last year is due to the impact of significantly higher cotton costs, manufacturing start-up inefficiencies and more favorable product mix, more unfavorable product mix. These unfavorable variances will only be partially offset by the benefit of the recent price increase, which have not been applied to back orders. A main focus of the company in fiscal 2011 is to manage a major capital investment program for capacity expansion and further cost reduction, which is expected to total in excess of $150 million not including a major capacity expansion and cost reduction project also being undertaken in the company’s yarn-spinning joint venture. The global environment in our industry is one of supply shortages and hyper-inflation and raw material and other cost inputs, which is significantly impacting manufacturing and sourcing in Asia. Gildan’s investments over the past 10 years in building large scale vertical manufacturing facilities in Central America and the Caribbean Basin have uniquely positioned us to take advantage of this paradigm shift and reinforce our positioning as a reliable supplier of quality products to service large, continuous replenishment programs in North America, for both wholesale screenprint distributors and mass retailers. In addition our strong balance sheet and financial strength insure that we are in a strong capital position to finance our working capital requirements resulting from higher raw material costs. In order to rebuild activewear finished goods inventories and add production capacity to continue to drive our strategic growth initiatives, we are completing the incremental expansion of production capacity at existing facilities and proceeding as expeditiously as possible with the construction of our Rio Nance 5 facility in Honduras. This facility is now planned to have production capacity in excess of 30 million dozens when it’s fully ramped up. We are also expanding our new manufacturing facility in Bangladesh. Our total production capacity for activewear and underwear from our existing manufacturing footprint in Central America, the Caribbean Basin and Bangladesh is expected to amount to approximately 90 million dozens when these capacity expansions are complete. With the ramp up of our second sock manufacturing facility in Honduras, Rio Nance 4, our production capacity for socks in Honduras will eventually amount to approximately 65 million dozens and the company will have total manufacturing capacity to support consolidated sales growth to over $2.25 billion. Sock capacity in fiscal 2011 will be ramped up to 60 million dozens versus our previous plan of 65 million dozens this year. This is an opportune moment to remind you that we’ve set the March 22nd and 23rd, 2011 as the dates for our next Analyst and Investor trip to Honduras, which is an opportunity for you to personally see the continuing development and expansion of our operations there and meet our management team. In addition, the company is undertaking major cost reduction projects during fiscal 2011. In addition to the consolidation of sock manufacturing in Honduras, our cost reduction investments include the biomass alternative energy projects, which are being implemented in all of our textile and sock manufacturing operations. The replacement of high costs imported yarns with new technologies, which we are purchasing from third-party yarn spinners and which we will also begin to manufacture in our joint venture yarn-spinning facilities and the automation and expansion of our distribution center in Eden, North Carolina. Manufacturing efficiencies are also expected to be further improved as a result of the ramp up of new sewing facilities, the improved efficiency of our underwear sewing and packaging operations and the non-recurrence of other manufacturing efficiencies, including the additional costs incurred in fiscal 2010 as a result of the Haiti earthquake. Our other main assumptions for fiscal 2011 at this time are. Firstly, we’re assuming that we will operate our textile manufacturing facilities, which produce activewear and underwear at full capacity utilization throughout the year and that all of our production capacity will be required to support our projected sales in both the screenprint and retail channels, and to rebuild activewear finished goods inventories. Secondly, so production in fiscal 2011 is estimated at approximately 60 million dozens from the company’s Honduras and U.S. so manufacturing facilities. Three, our forecast for fiscal 2011 reflects the implementation of previously announced selling price increases which cumulatively total close to 13% in the U.S. distributor channel. The in year impact of these selling price increases is approximately 10% as they have not been applied to back orders. Possible further selling price increases in the U.S. distributor channel have not been included in the forecast. Initial selling price increases averaging approximately 5% are being implemented in early 2011 in the retail channel. Fourthly, the company has made forward commitments for all of the cotton which will be consumed in cost of sales in the first half of the fiscal year and a significant proportion of its projected requirements for the second half of the fiscal year. Our cost of cotton is projected to be approximately $0.78 per pound in the first fiscal quarter and approximately $0.95 per pound in the second quarter, which is higher than previously projected due to our faster consumption of our opening inventories during the first quarter. We have now purchased the majority of our cotton requirements for the third fiscal quarter at a cost of approximately $1.05 per pound and are currently projected full year cotton costs in fiscal 2011 is approximately $1 per pound. Based on these and other assumptions, we are currently projecting sales revenues of approximately $1.6 billion for fiscal 2011, gross margins of approximately 25% and SG&A expenses of approximately 10.5% of sales. Our projected income tax rate is approximately 4%. The company has also announced this morning that we are introducing our first quarterly dividend of $0.075 per share which will be paid after our first fiscal quarter on March 18, 2011, to shareholders of record on February 23, 2011. The company intends to pay the same dividend quarterly throughout fiscal 2011 and our dividend policy will be reviewed annually thereafter by our Board of Directors. The annualized dividend of $0.30 per share represents a payout of approximately 18% of our fiscal 2010 net earnings and provides approximately a 1% yield on our current share price. As discussed, we are continuing to undertake major capital expenditures for capacity expansion and continue to be committed to pursue our growth strategy in all of our target markets. Also, although we are currently focused on our organic growth opportunities and not engaged in any acquisition discussions, we will consider selective complimentary acquisitions which will provide an attractive return on capital. However, we have historically generated free cash flow after financing significant capital expenditures for capacity expansion, our two soft acquisitions and our working capital requirements to support our growth. We have utilized our cash flow in the past to de-leverage the company and as such our fiscal 2010 year end, we have a very strong balance sheet with approximately $260 million of cash and cash equivalents and significant unused debt capacity, even with conservative debt leverage parameters. Therefore, we have concluded that as a result of our strong balance sheet and free cash flow generation, we are in a position today to maintain significant financing capacity and flexibility to support our ongoing growth strategy and at the same time, introduce the dividend to begin to provide yield to our shareholders and enhance our total returns to shareholders. In addition, we have reinstated a normal course issuer bid which will authorize the company to repurchase up to a million shares in the open market, which we will do from time to time during the year if and when management believes that our share price is significantly undervalued. Even though we’re currently in a period of global economic uncertainty and unprecedented volatility and commodity prices, the introduction of a dividend indicates the confidence that management and our Board have in our continuing strong free cash flow generation and reinforces our positive outlook towards the future prospects for Gildan as we bring on new capacity and continue to implement the next phase of our growth strategy.
Sophie Argiriou: Thank you, Laurence. This concludes our formal remarks. Before moving to the Q&A, as always, I would ask that everyone limit their questions to two or three as there are a number of you that would like to ask questions and we’d like to give that opportunity to everyone. Time permitting, of course, we’ll circle back for a second round. Thank you. I’ll now turn it over to the Operator.
Operator: Thank you. (Operator Instructions) Our first question will come from the line of Spencer Churchill with Paradigm Capital. Please proceed.
Spencer Churchill – Paradigm Capital: Good morning, guys. Just wanted to touch on the fiscal 2011 top-line guidance a bit, obviously the Q1 guidance is for pretty robust growth year-over-year 40% and you didn’t have the full impact of the price increases, 1.6 billion for the full year, is that 22% for year-over-year growth? And I’m just wondering is there any reason that you see growth year-over-year slowing down as the year progresses or it is being conservative or is this may be related to the activewear capacity reduction that you talked about?
Laurence Sellyn: Well, this reflects running our facilities at full capacity utilization and selling all of our production, so that reflects what we will also be doing though is building inventory which will be available at the end of the year in the fourth quarter. And so we may have some upside to sales in the fourth quarter as we rebuild -- once we’ve rebuilt our inventories.
Spencer Churchill – Paradigm Capital: Okay. Great. And then, maybe if you could just touch on the activewear reduction in capacity, the $5 million that you talked about?
Laurence Sellyn: Pardon me?
Spencer Churchill – Paradigm Capital: Sorry, maybe I should confirm, did you say that the activewear total capacity for the year is at 60 million from 65 before?
Glenn Chamandy: No, what I was referring to there was the reduction of the -- of the capacity for socks coming in Honduras from Rio Nance 3 and Rio Nance 4. We still have ultimate capacity in Honduras of 65 million dozens as we said before. But during this year we’re going to ramp it up as a first stage to 60 million dozens, which would allow approximately 15% organic growth in sales of socks during the year.
Spencer Churchill – Paradigm Capital: Okay. Great. Thanks for the clarification on that and then in terms of the cotton subsidy and the yarn spinning JV, can we expect to see similar gains in terms of the number that was reported on the Income Statement for Q4 or was Q4 just an abnormally high number?
Laurence Sellyn: I’d say that’s an abnormally high number.
Spencer Churchill – Paradigm Capital: Okay. Great. And maybe I’ll just take a chance, I’ll ask one last one. In terms of the hedging strategy on cotton, is it an active strategy or is it a passive strategy? Do you try and gain the price a little bit or do you just basically hedge as you get orders further out?
Glenn Chamandy: It’s an active strategy and we are trying to -- this market which is quite volatile, is to just try and mitigate our exposure and try and purchase our COGS at a price in which we think we could bring our product to market and keep our momentum going. So that’s sort of what triggered our purchasing requirements for this year.
Spencer Churchill – Paradigm Capital: Great. Thanks, guys.
Operator: And our next question will come from the line of Martin Landry with Desjardins Securities. Please proceed.
Martin Landry – Desjardins Securities: Good morning. In Q3, you had mentioned that you were expecting manufacturing efficiencies and higher selling prices to offset all of the -- or most of the rise in your input cost in fiscal ‘11. Has that changed or do you still expect that to happen?
Glenn Chamandy: We expect to have a positive impact from manufacturing efficiencies in 2011 from all of these projects I mentioned which is partially offset by increase in other purchased cost inputs, the non-recurrence of the insurance claim and the benefit that we had this year, the net after offsetting these things is that the manufacturing efficiencies from our new investments will add about $0.15 to our EPS in fiscal 2011 compared with 2010.
Martin Landry – Desjardins Securities: Okay. Because I’m having difficulties reconciling, I mean, you’re now expecting your gross margin to decrease by more than 200 basis points in fiscal ‘11 versus fiscal ‘10 and I was just having difficulties understanding how that can happen if you’re expecting most of your input cost to be offset by a better efficiencies and higher selling prices.
Glenn Chamandy: Well, I’ll walk you through a whole bridge, but this is because we’re not marking up the increase in cotton costs, we’re just passing it through in dollars and then also we’re not getting the full benefit of the price increases in year because we haven’t applied them to back orders. But if you take all of these assumptions we’ve given for sales growth and margins and SG&A, it would add up to close to $0.20 increase in EPS and to again, walk through how that’s built up, the increase in sales volume will contribute about a $0.40 positive impact to EPS next year. The impact is selling price increases that have been announced are not including any further possible increase contributes $1 per share. The higher cost of cotton negatively impacts year-over-year EPS by $1.10, the manufacturing efficiencies net of the offset contribute $0.15 as I just outlined and then unfavorable product mix is negative about $0.10 that we’ve assumed, increases in SG&A another $0.10 and higher tax negative $0.05. So, these are raw numbers and add up to a $1.20 increase in EPS.
Martin Landry – Desjardins Securities: Okay. And finally, your timeline for Rio Nance 4 -- sorry Rio Nance 5, is it still at the beginning of Q4 or that’s been advanced?
Glenn Chamandy: The plant will begin production in our fourth quarter between August and September, around that time frame.
Martin Landry – Desjardins Securities: Okay. Okay. Thank you very much.
Operator: And our next question will come from the line of Eric Tracy with FBR Capital Markets. Please proceed.
Eric Tracy – FBR Capital Markets: Thanks. Good morning. Thanks for taking my questions. Laurence maybe just on the outlook there you walk through on an EPS basis, I guess, I’m struggling a little bit to reconcile to that math just based upon the parameters, the top line and gross margin and G&A you provided to kind of get there. I guess one, just on the G&A front, the 10.5% that you talked about, I think that implies roughly 9% year-over-year growth. Is that the assumption that some of these cost saving initiatives sort of kick in early in the year because it seems lick that’s a relative pretty big deceleration from years passed?
Laurence Sellyn: In terms of sales -- well, that’s because we’ve already put in place the infrastructure to support a lot of our growth initiatives that we would now be leveraging in 2011.
Eric Tracy – FBR Capital Markets: Okay. So it’s just we’ve sort of hit that inflection point in terms of fully leveraging the costs, so even though you’re sort of adding -- continuing to add to the retail program, most of that infrastructure has already been put in place?
Laurence Sellyn: The fixed infrastructure would be in place, yeah.
Eric Tracy – FBR Capital Markets: Okay, okay.
Laurence Sellyn: If I know we would -- plus we would not expect to have a recurrence of the ramp up inefficiencies that we had in fiscal 2010 as we started up the new distribution center in Charleston.
Eric Tracy – FBR Capital Markets: Okay. And then I guess on the gross margin line, it seems like so the Q1 guidance of 25 is similar to the year and I get that the pricing, you’re going to get the pricing kick in sort of after Q1 but it seems like that given the higher cotton costs and some of the other costs that come through in the back half, that that should actually decel and again I understand that pricing comes through but maybe if you could just, sort of, walk me through the math of the cadence of how that plays out on the gross margin line.
Laurence Sellyn: Well, I don’t really want to start going through quarter by quarter, Eric, but big picture, the reduction in overall margins is due to the factors that I mentioned that the selling price increase in year is not fully offsetting the increase in cotton. We are not -- we are not marking up the increase in cotton and we have, these are really the reasons.
Eric Tracy – FBR Capital Markets: Okay. And also just to clarify again, the buying of sort of cotton, at $1.05 for 3Q, that is for full 3Q and then what’s the level of exposure in 4Q? Have you bought any into 4Q or is that still kind of fully laid out there?
Glenn Chamandy: We bought some of our cotton for Q4 and without getting into a number, I’d say we’re at a point, where we’re reasonably comfortable that further exposure that we have in cotton is offset by elasticity of pricing we have in the current supply demand environment to pass through any further increases into selling prices.
Eric Tracy – FBR Capital Markets: Okay. And then just lastly, if I could, Glenn, maybe for you, in terms of the dividend and sort of the timing around that, sort of, what was it at this point that, sort of, where you are in your life cycle that this made sense relative to maybe just further investments and continuing to grow the business? It certainly seems like there is opportunities for growth out there, kind of, why now around the decision for the dividend?
Glenn Chamandy: Well, we’re still focusing and we’re a growth-oriented company, but the reality is that we’re growing organically. We’re spending lots of money in our infrastructure and capital expenditures and still generating significant cash flow. So we feel that we can be both a growth-oriented company as well as provide our shareholders with additional yield with the dividend. We still have financing flexibility and cash available to do strategic tuck-in acquisitions. But we’re putting the capacity in place to support in excess of $2 billion in sales and we’re very up beat about our forecast, our business and our future cash flows.
Laurence Sellyn: And in addition, Eric to the point that Glenn’s making that we’re maintaining significant financing capacity and flexibility, as far as the timing, we have historically generated significant free cash flow after financing our CapEx for capacity expansion and working capital for our growth, but up to this point we use the cash to delever the balance sheet. And as far as the timing, we’re now debt free and building up cash and the balance sheet, so that -- even though we are going to continue to pursue a growth strategy, we expect to continue to generate positive free cash flow and since we’re not going to, we have no leverage to continue to eliminate will be -- we see an opportunity to enhance our total returns from our growth strategy by providing yields to the shareholders.
Eric Tracy – FBR Capital Markets: Okay. Great. Fair enough. Thank you guys, appreciate it.
Operator: And our next question will come from the line of Claude Proulx with BMO Capital Markets. Please proceed.
Claude Proulx – BMO Capital Markets: Thank you. Good morning.
Laurence Sellyn: Good morning.
Claude Proulx – BMO Capital Markets: First question is, you talk about a 5% price increase in retail while at the same time in wholesale, prices are going up 13%. I mean, I know that in the past you’ve always said you wanted to target the same kind of profitability across all of your businesses. Does it mean that we may not, you may not be able to achieve that considering that it seems like pricing is easier to raising wholesale than retail?
Laurence Sellyn: I would think that -- I would say that the answer is longer term, that’s our objective and we continue to go down that path. I would say that based on the future price of COGS and if it remains at today’s levels, potentially there will be another price increase in the second half of the year, but it’s premature for us to say that at this point in time and we haven’t factored that into our forecast.
Claude Proulx – BMO Capital Markets: Okay. Good. Second one is when you look at your socks business, it came in below the guidance you had given for the fourth quarter and if I look at fiscal ‘11, you’re cutting your production plan. Is there some issues there that we should be concerned of?
Laurence Sellyn: Well, not really issues. We really turned the business around and what we think is, is we globalize the business, the area where we had a little bit of -- I’d say disappointment in our sell-through at retail was in the infants category. We’re the largest infant sock provider probably in North America today and so we have a huge amount of business in that category, particularly at one of our largest customers and we had made some assortment changes recently that our sales were down in that category more than we would like to see, but during the fourth quarter, we’ve made some assortment changes and so far in Q1, we seen double-digit increases again, so we’re pretty happy we got it fixed. Sometimes these things happen, but we’re working very closely with our customer and we’re back on track where we need to be. As far as the overall dozens are concerned, I think we still have 15% growth year-over-year, organically is still pretty good and partly also as we’re focusing on cost reductions, as we mitigate our manufacturing in the U.S. and ramp up our Rio Nance 4 facility, so we’re also still going to a transition and when you come to Honduras, you’ll see the type of build that we have and the capacity that we put in place. So all these moving pieces, this is where we feel comfortable today and we’re focusing on the bottom line as well as the top line.
Glenn Chamandy: And we have strong sell-through from retailers in the men’s and boy’s socks categories for the quarter.
Laurence Sellyn: All of other categories were up significantly, but the infant category was actually down significantly in Q4 and is now back in double-digit growth mode after we resorted, so a lot of the sales we would have because we had to redo packaging and so forth with the customer, but we’re back on track now in Q1, so far in terms of sell-through.
Glenn Chamandy: And Claude, the difference from our projection was 9% unit volume growth versus 15, so we still have good growth even with the issues. The guys were very good.
Claude Proulx – BMO Capital Markets: So the 15 relates to --
Glenn Chamandy: Volumes.
Claude Proulx – BMO Capital Markets: Is that what you expect next year or fiscal ‘11?
Glenn Chamandy: No. We have capacity in place that would support 15% volume sales. So we will see.
Claude Proulx – BMO Capital Markets: And the pricing, should we expect the pricing to be stable, go down, up, considering the mix and then cotton and everything?
Laurence Sellyn: Well, pricing will go up, obviously because we’re raising our prices and that will happen in Q2. We’ll see some price movement and like I said before, if cotton stays where it is today, we’ll take another, there’s more flexibility and another price increase sometime in the back half of the year.
Claude Proulx – BMO Capital Markets: Okay. Thank you.
Laurence Sellyn: Thank you.
Operator: And our next question will come from the line of Jessy Hayem, TD Securities. Please proceed.
Jessy Hayem – TD Securities: Thank you. Just staying on the socks side, are you still using third party contractors for socks and if so when will you be kind of done with this?
Glenn Chamandy: We did use third party contractors during the third quarter, but we are now no longer using third party contractors. And we’re in the process of ramping up Rio Nance 4 quite aggress or quite aggressively as we speak and the factory should be totally ramped up to our forecasted run-rate in the third quarter of this year.
Jessy Hayem – TD Securities: Okay. Sorry. Glenn, you said you did use contractors in the fourth quarter or only in the third?
Glenn Chamandy: No. We did it in the third and less in the fourth, but it was the third and fourth quarter, we did used contractors.
Laurence Sellyn: Small impact.
Glenn Chamandy: Yeah.
Jessy Hayem – TD Securities: And then, I guess with that in mind just getting back to a question that was asked before, so when will we see your gross margins trending or you being able to close the differential in margin versus, I guess what you do on the wholesale or activewear, seeing again that starting in coming quarters, you are not going to be using third-party contractors?
Glenn Chamandy: Well, right now I think sometime towards the end of this year, our margins will improve during the year. During the first quarter we’re still running through some higher costs because of the contractors and related costs. We’re ramping up Rio Nance 4 now. We’re still producing some goods in the U.S. We’ve actually shuttered some facilities earlier in the year that as we make this change, our wet processing has been closed and we’ve reconsolidated all of the packaging into our Rio Nance 4 facility. And as that continues to flow through our cost of goods sold, we’ll start seeing -- each quarter we’ll see margin increasing and we’ll continue going up during the year and we’ll see the full impact probably in Q4.
Laurence Sellyn: And also it will depend upon the pass-through of cotton costs or cotton costs and prices being in equilibrium, but we are investing capital in capacity expansion on the basis that we’re going to achieve our return on investment criteria on the capital that we’re adding.
Jessy Hayem – TD Securities: Right. And then, while we’re still on production, Rio Nance 5, has it started production? I’m sorry if you already mentioned that but I didn’t catch it.
Glenn Chamandy: We’re in construction mode with that facility and it’s going to start production in August-September period. The knitting is going to start sometime in August and the dials will start in September and then it will be ramped up during the year of 2012.
Jessy Hayem – TD Securities: Okay. And then, I guess just a general question on -- you’ve mentioned, Glenn, that if cotton stays where it is, there’s potentially another price increase opportunity for you. What’s your thinking of -- I guess what are you hearing as far as demand is concerned and obviously you’re in a sort of supply shortage mode and your ability to pass-through, yet additional price increases, just any thoughts on that or what you’re seeing out there?
Glenn Chamandy: Well, I think that the demand has been strong and the month of October, as Laurence mentioned in his script is that the market was up over 5% and what’s happening is that there’s this huge inflation and what we believe is a new paradigm going on in terms of the global manufacturing, particularly as it relates to Asia. The cost in Asia has skyrocketed. T-shirt prices in Asia have gone up over $9 a dozen since last year this time. They’re just not competitive. The pricing out of China in all categories, not just our basic T-shirt categories, but across-the-board everywhere, are up anywhere between 15% and 25%, so what’s happening is that retailers are scrambling in general to find product and I think it’s going to play well for people that are producing in this hemisphere, ourselves and the industry at large to capitalize on what we think is going to be a big shift in terms of where people are looking to manufacture in source of products. We have a lot of inquiries from people that are calling us now looking for product. And the second thing I think that’s going to take place is that, because of the fundamentals, there’s going to be a lot of manufactures actually going out of business. Most people can’t afford and don’t have the capital credit lines to support the cost of raw material even today and those that are buying raw materials and all of a sudden if it goes up or down and they have all of the [fruition] and fluctuations are taking significant risk in terms of margin losses, let’s say for example, so that’s going to create a lot of, we think, delivery issues this year. We think retailers are going to have problems getting delivered. To give you an example, if somebody was buying yarn, let’s say or fiber, let’s say for example and they are buying it at X price, the prices are moving up so fast that people are not rendering the prices, so the whole Supply Chain will be affected because of that, so what we -- how we positioned ourselves, is our only variable really -- to be honest with you is our cotton price. In fact we are actually reducing our cost of manufacturing next year, if you take all of the pluses and minuses we’re going to be positive, $0.15 of EPS. So we have significant manufacturing reductions, so the only variable we have is our cotton where I think when you look at the global paradigm, they’re faced with transportation cost, labor cost, everywhere there’s a huge amount of hyperinflation, which is going to create instability in the market and we think is going to allow for this hemisphere to be very good in terms of going forward into at least the next 12 to 24 months.
Jessy Hayem – TD Securities: Okay. Thank you. Final question, I guess before I circle back is, your guidance for top line of about a billion six for fiscal ‘11, I believe you said assumes -- you pretty much selling your full capacity and building some inventory in the fourth quarter. Does that then assume that you’ve I guess gaining traction with adding some more category at retail beyond the socks and underwear within that assumption and I guess maybe you can tell us -- give us some comments on how that traction is going, are you working on Spring programs at retail and so on.
Glenn Chamandy: Well, first of all our capacity this year is going to be roughly about 64 million dozens is what are going to produce in Europe, of which about 4 million dozens we are going to put back into inventory of which the large percentage of that will come into Q4 and that’s what really we are going to have additional like, Laurence said additional upside in terms of sales depending on how the market goes. We’ve placed all of our orders for Spring, which we’ve taken new programs for retail, but our focus right now as we go forward is going to make sure that we service our existing programs. We bring our inventories back in line to service our customers in the wholesale market, particularly our distributors. And we’re selectively looking at new programs for the fall. We have a lot of inquiries and a lot of people are calling us looking for new programs, but we don’t want to be in a position that we take more than we can chew and so we’re working through this right now and we’re seeing how we can maximize our capacity and the opportunities are out there, but I think that at the same token we’re very excited about our capacity expansion plans. We’ve increased the size originally we had in Rio Nance 5. The capacity of that factory was going to be just North of 20 million dozens and we’ve expanded the footprint of that plant to be close to 30 million dozen, actually North of 30 million dozens just because we think that there’s so much opportunity and we’re working as hard as possible to bring the capacity online to support the opportunities we have.
Jessy Hayem – TD Securities: Great. Thank you very much.
Glenn Chamandy: Thank you.
Operator: And our next question will come from the line of Mark Petrie with CIBC World Markets. Please proceed.
Mark Petrie – CIBC World Markets: Hey. Good morning. Wholesale market shares, particularly in tees and activewear stayed relatively flat in the last couple quarters. I know you’ve mentioned that the backlog has been in sort of a key driver there, but do you think that’s sort of a level that you’re generally satisfied with and are capacity constraints going to sort of hold you back from growing that or do you sort of still see some upside there?
Glenn Chamandy: Well, look. Two things I think might happen. We might see actually a small reduction in our share as we go forward into Q1 just because we are so sort of inventory in the market. But yet the market is very strong at the same time, so we look at this still as a great opportunity. Our sales are going to be up and unit volume over 40% year-over-year1. We’ve never had more momentum than we have today, so we just don’t know what potentially our real opportunity is, but based on the demand we have for our product, we believe we’ll continue to still gain market share as we go forward, once we bring our inventories back in line in the channel which will happen in the next -- by the end of December.
Mark Petrie – CIBC World Markets: Okay. Thanks. Can you just talk a little bit about the new technologies that you’re talking about, which essentially I’m assuming lower your input costs by essentially lowering the cotton requirements and what product categories are those most applicable to or is it sort of across the board?
Glenn Chamandy: Well, we made a major investment to develop our underwear business, which is primarily using finer yarns and typically, in Asia, you get a much better yarn than what’s being sold here from the major underwear manufactures and Asia, what they do is they sell like a ring spun which is softer and feels better. We’ve worked closely with our yarn providers and there’s a technology that we’ve invested in last year, which is really supporting the success and growth of our starter underwear programs at Wal-Mart and this particularly -- this particular yarn is a substitute for ring spun. It’s got the same feel and have the characteristics and quality, but it comes at a much lower cost of manufacturing and that’s what is going to give us, we think, a big advantage in our underwear business and its been so successful that we have made a decision to increase the amount of capacity to support our future retail underwear as well as we’ve introduced shirts in our wholesale market that can use this application as well which is more of a -- it’s the type of shirts that we sell and are lighter and more fitted and a little bit more let’s say not fashion, but a little bit more trendy, let’s say, for example. And that’s an area which is growing fast in the marketplace. So, in the case of this investment, this is going to be creating new opportunities which will tie into our projected sales forecast as we go forward.
Laurence Sellyn: And in addition to the manufacturing cost efficiencies, there will also be savings in duty because imported yarns don’t qualify for duty-free access into the US under CAFTA.
Mark Petrie – CIBC World Markets: Okay. Thank you.
Glenn Chamandy: Thank you.
Operator: And our next question will come from the line of Tal Woolley with RBC Capital Markets. Please proceed.
Tal Woolley – RBC Capital Markets: Hi. Good morning.
Glenn Chamandy: Good morning.
Tal Woolley – RBC Capital Markets: I just wanted to verify again the [inner wear] capacities for 2011. So for activewear and underwear you’re saying 64 million with 4 million going into inventory and 60 million targeted for sales?
Glenn Chamandy: 64 million. Yeah.
Tal Woolley – RBC Capital Markets: And for socks it’s going to be 60?
Glenn Chamandy: Yeah.
Tal Woolley – RBC Capital Markets: Okay. And then just in your MD&A, you’ve made reference to, I am just trying to understand a little bit of the dynamics at retail. You made reference to the impact of back-to-school promotions impacting the realized revenues on the sock programs. Is that more of a mix issue or that you had to sort of take – reduce pricing to get that volume?
Glenn Chamandy: It’s not reducing price but normally what you do is you either offer a better value by putting an extra sock in the bag, but at the end of the day, it’s a combination of pricing or better offering. It’s typically what happens at back-to-school. Partly for us it was a small portion of price, but also the fact is that we also have realigned all of our product offerings and we’ve eliminated any products that are more fashion driven. So all of our product lines going forward are real basic products that meet the requirements of our Rio Nance facility and that’s why you know in the past we kept saying that we keep moving our product mix around and now we have finally got the mix to that all of our products were selling are conducive to the type of manufacturing that we’re going to put in Rio Nance in and those socks are more basic promotional white socks, let’s say for example, versus stripes and stretches and other things, let’s say.
Tal Woolley – RBC Capital Markets: Okay. I just also wanted to talk a little bit about the inventory situation at screenprint. I am just wondering if you can discuss a little bit how you thought about allocating your capacity? You know you made big gains internationally this year and then now it turns out you’re a little bit short at US screenprint. I’m wondering, you know, if you can sort of talk to those two things, did you trade one for the other or how did that sort of come about?
Glenn Chamandy: Well, no, I think we’ve been tight in all of our markets, as a bottom line, but right now our focus is to re-build our screenprint inventories and based on our forecast next year, we think we have sufficient inventory to re-build our screenprint inventories and as well as maintain the service that we acquired in all of our markets. We’re going to have a significant capacity increase. Last year, we produced 52 million dozens, next year we’re planning to produce 64 million dozens. So, we are making a lot more product on a year-over-year basis and so we’re just right now need another month to really put ourselves back in a better position and then as our capacity is continuing to grow, we feel comfortable but our focus right now is to make sure we bring our wholesalers in the States back into a good inventory position.
Tal Woolley – RBC Capital Markets: And you’ve sensed no frustration from them on their part like as a result of being short-stocked right now or they are still willing to wait, so to speak?
Glenn Chamandy: Well, you know, look. We are not -- if we [circle] our market share in Q4, we didn’t lose any market share. So we are working through this and it’s not the best to be tight at the end of the day, but it’s creating a good demand dynamics in the market at the same time. And, we think that as we turn the corner here, we’ll be in much better shape and but we haven’t had any major significant disappointments at this point to answer your question.
Tal Woolley – RBC Capital Markets: Okay. That’s great. Thank you very much guys.
Sophie Argiriou: Operator, before we take the next question, I just want to remind everyone that we’re already past the hour and there still remain people that would like to ask a question. So I would ask if you can just keep it to one. Of course, we’ll be here after the call to support you with any further questions you have, but just to let everybody ask a question I would ask that you just ask one question. Thank you.
Operator: And our next question will come from the line of David Glick with Buckingham Research. Please proceed?
David Glick – Buckingham Research: Good morning. My question is about the capacity that you discussed at 90 million dozens in activewear and underwear and 65 million in socks. Is that a number that will be fully available for fiscal 2012 or what percentage do you think might be available for fiscal 2012 based on plans that you currently have? And is there any reason why you couldn’t maintain a similar operating margin that you’re projecting in ‘11 and in 2012?
Glenn Chamandy: Well, what we’re going to do is in March when we meet you in Honduras, we’ll give you a full update on the plant capacity and ramp up, but putting things in perspective, the plant, if it starts in September and starts to get ramped up, there’s a significant portion of opportunity for us in 2012, but it will also support 2013 as well because we can only ramp it up so fast and as you know, is that in our industry, the height of the summer selling season is June, July type period, you know what I mean? So, the major impact of the ramp up of that facility will take us to a certain level and then we’ll have to plateau and re-build for the following year. The reason one -- the good news is that because of the fact that it’s in a Rio Nance complex, we’re already trading operators. I mean, so the ramp up will happen quicker and will have a better steeper curve, but we’ll bring you up to speed with all of those questions when we meet you in March and we’ll have a little bit more clarity in our whole forecast and build up as we go forward into the future.
David Glick – Buckingham Research: Thanks and good luck.
Glenn Chamandy: Thank you.
Operator: And our next question will come from the line of Vishal Shreedhar with UBS. Please proceed?
Vishal Shreedhar – UBS: Thanks a lot. Just on the increase in the provision in the receivables, can you talk about that, particularly given the growth in the wholesale market?
Glenn Chamandy: I don’t want to focus on any particular customer. We had one customer with provisions against two accounts neither of which were in the U.S. (inaudible) discount.
Vishal Shreedhar – UBS: So they were not in the U.S.?
Glenn Chamandy: One was international and one was in another (inaudible).
Vishal Shreedhar – UBS: Okay. And I know we are tight for time, but I’ll just ask one more question. On the sensitivity, given the significant run-up in cotton and other commodities, do the pricing sensitivities that you gave to us apply and furthermore can you tell us what percentage of your COGS will be cotton at the end of the year, if you could?
Glenn Chamandy: Well the sensitivities, obviously if the volume increases, the sensitivities increase in line with the higher volume, for one cotton -- change in cotton would be about [$0.25] as opposed to [$0.30] and if we don’t present selling price increase in the distributor channel is about $0.10.
Vishal Shreedhar – UBS: Okay. Thank you.
Operator: And our next question will come from the line of Kenric Tyghe with Raymond James. Please proceed.
Kenric Tyghe – Raymond James: Thanks, good morning. Just with respect to your share of channel versus channel inventory versus market share, I may have missed it in the announcement, so if you could clarify where we are on that and in Europe if you wouldn’t mind, is your increased penetration there a function of sort of increased share of business with the existing distributors or have you managed to add either new distributors or new relationships in new geographies and if you could possibly clarify in those two, please?
Laurence Sellyn: The first part of the question, is that our share of inventory at the end of the quarter was about 50% compared with our market share of 64% and then as far as Europe, I’ll make one comment and you can add anything you want is that obviously with our inventory situation we’re focused in servicing existing customers, but we already cover pretty well the universe of all of the major distributors in Europe.
Glenn Chamandy: And you know we had a significant increase in share in Europe this year and we have huge momentum in that marketplace and as we continue to bring on capacity there’s lots of room for us to grow with all of our customers there, on a go-forward basis.
Kenric Tyghe – Raymond James: I’ll leave with that. Thanks very much.
Glenn Chamandy: Thank you.
Operator: And our final question will come from the line of Omar Saad with Credit Suisse. Please proceed.
Omar Saad – Credit Suisse: Thanks. Nice quarter, guys.
Glenn Chamandy: Thank you.
Omar Saad – Credit Suisse: Not a bad time to be a large scale [efficient] manufacturer when demand is pretty solid and capacity is constrained. And on that note I wanted to ask you guys about demand elasticity. Have you thought about it? Have you done any studies looking back at your kind of historical data and all of the data you have, how elastic is demand to changes in price and when you were kind of thinking about how to deal with price increases next year, I know you didn’t really raise prices on the margin, just to flow through the costs. Was there a reason for that? Could you raise prices, kind of, in line with the same percentages as costs go up? Any discussion in terms of how the whole entire vertical channel thinks about price increases and what the impact is from your retail partners or your wholesale distributors? How do they feel about price increases and how the market - end market will take it? Thanks.
Glenn Chamandy: I think two things. One is that we’ve seen pricing in the last 15 years since we’ve been in the industry declines every year and then we’ve seen pricing eventually plateau and if you look at the price and cost of producing goods globally, it’s relatively on the rise everywhere. So that’s one phenomenon. As far as the ability for us to look at pricing and how that affects our channel, today, you can buy even after all of our price increases so far, you look at what the price of a shirt is, it’s $2.10 out of our distributors’ doors. It’s still pretty attractive relative to the end use price. And if you go to a rock concert you pay $30 for a shirt. So, although the pricing has gone up, it’s still, we are still very competitive, I think, as an industry and we think that there’s still potentially room for pricing to go up a little more without really affecting the demand. But we don’t know. So, our strategy obviously is going to be cautious and that’s the way we approach the market. We’ve taken subsequent price increases pretty quick obviously because of July and September and October, I think what we’re going to do is we’ll wait and see how demand plays out and if there’s definitely room to take additional price increasing, that may occur because you got to understand is that that it depends on what happens also with cotton at the end of the fiscal season because a lot of people are going to be working through their less expensive cotton, but people that are buying cotton in Q1 and potentially into Q2 of this year between the price of cotton and basis, their costs are going to be significantly impacted as they go through and maybe not in this fiscal -- maybe not in Q3 or Q4, but by Q4, these costs are going to be significantly increasing their cost of goods sold. So there’s definitely room for price increasing if cotton remains at the type of level it is now and I think that the market personally can absorb it, but we need to be cautious and make sure that we don’t knee jerk and raise pricing too fast to scare people away from buying our products.
Omar Saad – Credit Suisse: Thanks. And the channels you’re selling into they’re open to it, the wholesale distributors or the retailers, are they are fine with the price increases?
Glenn Chamandy: Well I think in wholesale, it’s a little bit different business than retail. People want to mark product up, our wholesalers mark product up on, you know, so higher prices, higher markup and it’s good for our industry. In retail, it’s a little bit more price sensitive because you got consumer price points and I think consumers especially at the mass market are a little more sensitive to price elasticity and price moving, but there’s definitely room. If I look at the way the pricing has gone in the past, you can buy in certain cases nine pairs of underwear in a bag. Do you need nine pairs for the week or do you need seven pairs for the week. So there’s ways to keep price points down by retail by reducing assortments and other things, let’s say for example, that could mitigate price increases and that’s to be worked through with the retailers, but I think that there’s still room and we’re very competitive as an industry. So not just Gildan, I think that the whole industry is very competitive, the ones that produce in this hemisphere, anyways.
Omar Saad – Credit Suisse: Thanks for the information.
Glenn Chamandy: All right. Thank you.
Omar Saad – Credit Suisse: Thank you.
Operator: Ladies and Gentlemen, this concludes the question and answer portion of our call. I will now turn the call back over to Sophie Argiriou for any closing comments. Please proceed.
Sophie Argiriou: Thank you. I would like to thank everyone for joining us. I would also like to take the opportunity to wish everyone happy holidays and we look forward to speaking to you in the New Year at our next earnings conference call. Goodbye.
Operator: Thank you for your participation in today’s conference. This concludes your presentation. You may now disconnect. Good day, everyone.